Operator: Good morning. My name is Mike and I will be your conference operator today. At this time, I would like to welcome everyone to the Boardwalk Real Estate Investment Trust Fourth Quarter Results Conference Call. All lines have been placed on mute to prevent any background noise. After the speaker’s remarks there will be a question-and-answer session. [Operator Instructions] I will now turn the call over to James Ha, you may begin your conference.
James Ha: Thank you, Mike. And welcome again to the Boardwalk REIT 2014 fourth quarter results conference call. With me here today is Sam Kolias, Chief Executive Officer; Rob Geremia, President; William Wong, Chief Financial Officer; and Bill Chidley, Senior Vice President of Corporate Development. Note that, this call is being broadly disseminated by way of webcast. If you haven’t done so already, please visit www.boardwalkreit.com, where you will find a link to today’s presentation as well as PDF files of the Trust’s financial statement, management discussion and analysis, as well as supplemental information package. Staring on Slide 2, I'd like to remind our listeners that certain statements in this call and presentation maybe considered forward-looking statements. Although the Trust believes that the expectations set forth in such statements are based on reasonable assumptions, Boardwalk’s future operation and its actual performance may differ materially from those in any forward-looking statements. Additional information that could cause actual results to differ materially from these statements are detailed in the earnings press release and in other publicly filed documents, including Boardwalk REIT’s Annual Report, annual information form and Quarterly Report. Moving on to Slide 3, our topics of discussion for this morning will include highlights of the REIT’s fourth quarter results; current fundamentals of the multi-family market; a review of the Trust’s financial and operational performance and development update; portfolio highlights; operational review and analysis; financial overview; and lastly, an outlook and our quarterly guidance update. At the conclusion of today’s presentation, we will be opening up the phone lines for questions. I’d like to now turn the call over to Sam Kolias.
Sam Kolias: Thank you, James, and thank you everyone for joining us this morning. We are pleased to report on the solid fourth quarter for the Trust. Starting on Slide 4, some financial highlights for the three-months in the fourth quarter of 2014 include, total rental revenue of $119.9 million, an increase of 3.8% from the same period last year; NOI of $73.6 million, up 3.7% from the same period last year; funds from operations, $43.7million, an increase of 5.5% from last year. FFO per unit of $0.84 on a diluted basis up 6.3%; and adjusted funds from operation per unit, which includes an estimated $475 per apartment unit of maintenance capital per year of $0.76, up 7%. Some financial highlights for the 12 months period of 2014 includes total rental revenue of $473.2 million, an increase of 4.3% from the same period last year. NOI of $292.4 million up 2.9% from the same period last year, funds from operation of $175.8 million, an increase of 4.5% from last year FFO per unit up $3.37 on a diluted a diluted basis, up 5% and adjusted funds from operation per unit, which includes an estimated $475 per apartment unit maintenance capital per year of $3.05 up 5.5%. Some portfolio highlights on Slide 5, include overall occupancy for the fourth quarter up 2014 was down 40 basis points to 98.02% from 98.42% in the same period last year. Monthly average occupied rent realized period ending for the fourth quarter, which includes ancillary income, was $1,170 per apartment unit, up $47 from a $1,123 per apartment unit same period last year. Our Same Property performance for the fourth quarter rental revenues increased by 3.7% for the three months of the fourth and 4.2% for the 12 months of 2014. Overall operating cost increased by 5% for the three months for the fourth quarter, and 7.1% for the 12 months of 2014. Total NOI increased by 2.9% for the three months of the fourth quarter, and 2.5% for the 12 months of 2014. As Slide 6 illustrate, our rental revenue are cyclical in nature. In the fourth quarter of 2014, the Edmonton and Calgary markets remained stable continue to be in a period of higher occupancy coupled with increased revenues. Over the last quarter and first two months of the New Year incentive like previous quarters, continue to be use in selected communities on selected units to reflect changes in the seasonal demand. Calgary and Edmonton delivered another quarter of solid results. Saskatchewan remains in a softer part of the rental cycle, which reflects higher supply of newly constructed rental apartment, resulting in slightly lower occupancy levels and more incentives being introduced to optimize occupancy levels, particularly in Regina. Fort McMurray has seen higher vacancy and incentives reflecting in increased supply of new housing coupled with a slowing global economy, similar to last quarter. Suncor has continued to confirm it will go ahead with its Fort Hills $7 billion mine despite low oil prices. Fort McMurray is 1% of our portfolio. Moving on to Slide 7, there still remains a significant gap between the economic rent required for new rental construction and condominium home ownership in Alberta and Saskatchewan. Please note, quality of condos is typically higher and this should be kept in mind when reviewing this chart. Slides 8, 9, and 10 detail our net operating income optimization strategy and revenue strategy and highlights the Trust’s strategic balance between customer service, occupancy levels, market rents and operating costs with customer service and occupancy being the primary focus. Regardless of where the Trust markets are during the aforementioned revenue cycles, Boardwalk believes that continued focus on high occupancy, increased retention and our constant focus on customer service and quality is the key to providing the most stable long-term sustainable revenues and net operating income. Increased retention and lower turnover reduces costs and increases net operating income. Boardwalk’s customer friendly, self regulated rent control and the elimination of rental increases for customers that can prove financial hardship continue to drive high occupancy, build goodwill and stronger community. Slide 11 shows our focus on quality and service is being rewarded by higher occupancy and lower turnover. Year-over-year, turn overs increased slightly and occupancy decreased slightly. Slide 12, shows our average customer stay has increased, reflecting more of our customers who are calling Boardwalk home. If you truly feel at home, where else would you want to live? Slide 13, highlights the increase in both the Trust’s occupied and market rents relative to our last fiscal quarter three months ago. During the last month of the last quarter the Trust’s average occupied rent has increased by $10 per apartment unit since the last quarter and by $47 per apartment unit since last year. This trend remains positive. The trend, at the spread between occupied and market rents, has increased slightly from the previous quarter. As shown in Slide 14, the Trust continues to have a favorable mark-to-market with the average loss-to-lease totaling $32 per apartment unit per month. An illustration of the effect of a $25 increase or decrease to rents on FFO is shown on Slide 15. Assuming that occupancy levels and operating costs remain the same, $25 adjustment to rents would increase or decrease the Trust's FFO by approximately $0.20 per unit. The effect of an increase in expenses is also illustrated on this slide. Each 1% in expenses decreases the FFO per unit by approximately $0.03 using 2014 annualized expenses. Chart on Slide 16 demonstrates occupancy versus availability. Our occupancy for the fourth quarter was slightly lower, while our availability increased slightly. Availability, below zero, reflects rentals that will be occupied in future months. We believe that occupancy, of 97% or higher, reflects the Boardwalk rental price. Slide 17, reflects demand, i.e., rentals as compared to supply or also known as move-outs, and ties into our occupancy. In the fourth quarter move-outs have decreased, as well as rentals, resulting in slight decline in occupancy levels, consistent with previous in accordance with seasonality. Slide 18, illustrates vacancy loss and incentives. Incentives and vacancy increased relative to last quarter, reflecting the changes in seasonal demand and softer Saskatchewan and Fort McMurray markets. Slide 19 shows the results of the Trust customer move-out surveys. For the fourth quarter, turnover was up by 5.1%. Move outs to purchase new homes were up 18.8%, new housing is a significant alternative and our continued focus on building goodwill, quality and service are all essential. Skips have dropped by 3.4% reflecting an improvement in screening and market wide lower vacancy. Transfer to another Boardwalk’s apartment has increased 12.1%. Rent too expensive has decreased by 1.5%, representing the market is more balanced in previous quarter. Slides 20 and Slide 21, show a softening economy going forward for Alberta while Saskatchewan’s economy seems to be stabilizing. Multifamily starts to increase slightly for Alberta in 2014 and Saskatchewan for 2014. Single detached starts in Alberta up for 2014 and Saskatchewan are trending down slightly in 2014. Slide 22, the most recent unemployment statistics in Alberta and Saskatchewan. Both provinces unemployment rate continues to be low. Slide 23 illustrates average weekly earnings as of the fourth quarter. Alberta workers continue to earn the highest wages in the country. With average weekly earnings increasing year-over-year. All other provinces also saw positive wage growth for the same period. Slides 24 and 25 show the most recent migration numbers for Alberta and Saskatchewan. Migration for both Saskatchewan and Alberta are forecasted to be lower in 2014. With the weaker economy and more supply of multifamily units, both forecasted for 2014 in Alberta, the rental market supply and demand statistics reflect the movement to a more balanced market. Saskatchewan’s international migration continues to be the biggest source of migration and is lower than last year’s numbers. Slide 26 shows a breakdown of the major projects investment in Alberta, which total $207.3 billion as of December 2014, down $2.2 billion over last quarter, reflecting shelved upgrader projects. We continue to monitor the long-term capital being invested in Alberta as the leading indicator to future demand for housing. As shown in Slide 27, land sale revenue for the province of Alberta relating to petroleum natural gas have slowed versus last year. Natural gas and oil prices have fallen since the winter high and the Canadian dollar is weaker which is positive for oil and gas producers who export oil and gas in U.S. dollars. As depicted by Slides 28 and 29, the Alberta housing market has stabilized over the last quarter. The single family home prices in Edmonton and Calgary down slightly. In January, listings were up significantly and sales were down significant. Indicators that have historically predicted lower future prices. As depicted by Slide 30, the average residential sales prices down slightly in Saskatoon and Regina. Slide 31 illustrates implied cap rates in relation to our unit price. Over the last quarter, our public market evaluation has dropped, resulting in a widening gap between the implied cap rate represented by our current unit price and the cap rate that quality assets have sold out on the private market. Stock and bond markets continue to be very volatile. Slide includes the IFRS fair value, rental revenue and expenses, used to calculate implied cap rates on a per share basis and compares the Trust valuation net of $1.28 of cash per unit, which is net of the special distribution as a result of the proceeds of the sale of non-core assets. We continue to review our portfolio. Our current public market valuation continues to represent exceptional value when considered against the current replacement costs, other consumer housing options like condominium ownership and current valuations on private market transactions. I would now like to pass the call on to Bill Chidley who will provide more details on our newest projects. Bill.
Bill Chidley: Thank you, Sam. Cap rates for well-located, better quality properties remain at low levels. Sale activity has declined significantly in most major markets in 2014 due primarily to reduced availability of good assets. Moving on to Slide 33. In January, we completed the acquisition of Nuns’ Island Office and warehouse, a building housing approximately 31,000 square feet of commercial leased area. Prior to the acquisition Boardwalk has been leasing 16,000 square feet, just the reminder being leased to the third party. We purchased for the building for $3.1 million at a cap rate of 8.5%. Moving on to the next slide. We executed a fixed price contract and construction is well underway on Pines Edge Estates. The first Phase consistent 79 units located on our existing property Pines of Normanview. A complete foundation of the place and the main floor slab was completed last week. Framing of North main floor building is nearing completion and masonry elevator shaft is complete. Anticipated completion of this Phase is Q1 of 2016 and is expected to cost approximately $14.1 million or $178,000 per door, which equates to a $179 per square foot buildable and $209 per square foot rentable. We are estimating the stabilized cap rate to range between 6.0% and 6.5%, excluding land. Including the appraised value of approximately $12,000 per door the cap rate will be reduced by about 40 basis points. We have factored in some market rent decline in this analysis reflecting the possibility of continued market weakness. This four storey wood framed elevators building will have one level of underground parking. There are 3-1 bedroom and 66-2 bedrooms of which 60 have two baths. Moving onto Slide 35. This slide highlights our other development opportunities. In Calgary, a rezoning application was approved by City Council to build 200 additional units at Sarcee Trail Place. We are accepting the economic variability of this project. In Edmonton, we received approval from City Council for our RA9 zoning in January 2014. The city is currently working on a text amendment to increase the FAR on all RA9 zones to five FAR which would allow us to build 312 additional units on this site. City planners expect this text amendment to be ratified in 2015 by City Council. We have one major site in Calgary and one in Regina that we consider strong candidates for master planning. These sites could achieve substantially higher density but would require substantial demolition. I would now like to turn it over to William Wong. William?
William Wong: Thank you, Bill. Slide 36 shows the computation of FFO for the three and twelve months ended December 31, 2014, versus the same periods last year. And is calculated using profit from continuing operations as shown on our consolidated statement of comprehensive income prepared in accordance with IFRS. Reported Funds from Operations or FFO, a performance measure not defined by IFRS, but that better reports the overall operational performance of real estate entities, for the current quarter was $43.7 million, up 5.5% from the amount reported in the same period last year and on a per unit basis, increased by 6.3% from $0.79 to $0.84. The increase was primarily driven by organic rental revenue growth and lower financing costs. For the 2014 full year, FFO was at $175.8 million, up 4.5% from the $168.2 million from the same period in the prior year. FFO per unit of 337 was up $0.16 or 5% from the 321 for the same period in 2013. The increase is attributable to higher rental revenue growth and interest cost savings. The next slide, Slide 37 shows our reconciliation on a per unit basis of FFO for the three and twelve months ended December 31, 2014, from the FFO amounts reported in 2013. As the slide shows, NOI growth from our stabilized properties and an increase in financing costs, contributed $0.04 and $0.03 to FFO growth for the current quarter compared to the same period in the prior year. This was partially tampered by the FFO loss on the sale of West Park Ridge and our BC property portfolio. For the 12 months of the year, NOI growth from our stabilized properties and a reduction in financing costs contributed $0.14 and $0.07 respectively. FFO loss on the sale of West Park Ridge and our BC properties portfolio was $0.06 for the full year. Unit buyback in 2014 accounted for $0.01 and $0.02 of FFO growth for the current quarter and full year estimate. Slide 38 provides an overall review of rental operation performance for the current quarter and first 12 months of the year as shown in our income statement. Revenue from continuing operations, including ancillary rental income like coin and laundry for the current quarter was higher by approximately $4.3 million or 3.8% compared to the same period in the prior year. Primarily due to higher average rental rates while maintaining high occupancy levels. Total rental expenses for the current quarter increased by approximately $1.7 million or 3.9% from $44.5 million to $46.2 million, primarily due to higher utility and property tax. Utilities were higher by approximately $0.7 million or 6% due primarily to higher natural gas prices in water and fuel cost in the current quarter compared to the prior year. Property taxes were higher by approximately $0.4 million or 4% due to higher property tax assessments. The net result is that overall net operating income, or NOI, for the fourth quarter increased $2.6 million or 3.7% compared to the same quarter in 2013. Operating margin at 61.4% for the third quarter remained virtually unchanged from the same period in the prior year. For the 2014 full year, NOI increased $8.2 million or 2.9% compared to the same period in the prior year. Utilities were higher by $5.5 million or 13% due to the abnormally colder weather experienced in the first quarter of this year. Slide 39 shows a breakdown of capital. We reinvest back into our investment property portfolio. This capital investment is categorized between repairs and maintenance, on-site maintenance personnel cost, maintenance capital, stabilizing and value enhancing capital investments and property plant and equipment purchases or PP&E. Repairs and maintenance and on-site maintenance personnel costs are expensed when incurred since they are regular and ordinary expenditures necessary to maintain the operating condition of a property in the short-term. Maintenance capital investment is capitalized and related to maintaining the existing earnings capacity of our property portfolio. Stabilizing and value enhancing capital and PP&E expenditures, which are more discretionary in nature are capitalized and focus on increasing the productivity and/or earnings capacity of our properties. For the fourth quarter of 2014, Boardwalk invested in expense an average of $422 per suite on R&M and on site personnel costs and capitalized approximately $781 per suite on stabilized investment property improvements. In addition, Boardwalk spended approximately $2 million or $59 per suite on PP&E. Slide 40, provides breakdown of our operational capital improvements and capital asset additions for the 12 months of 2014. The Trust reinvested back into its portfolio, total of $87.4 million comprised of $80.2 million towards stabilized investments properties and $7.2 million in property plant and equipment, compared to a total of $81 million for the same period in 2013. Included in the amount to reflect Boardwalk’s internal capital program, is approximately $16.7 million of allocated on-site wages and salaries and certain parts of supply, compared to $17.8 million for the 12 months of 2013. Not included in the pie chart for the 12 months of 2014, Boardwalk invested $2 million in developments compared to $15.5 million for the same period in 2013. The next slide, Slide 41 shows, total overall admin costs which includes operating and corporate G&A for the 2014 full year, where as $57.4 million, an increase of $2 million or approximately 4% from $55.4 million for the same period last year. The increase was due primarily to a $1.6 million non-recurring transition payment accrual and high on-site salaries and wages for our property management personnel. I would now like to turn the presentation over to Rob Geremia. Rob?
Rob Geremia: Thanks William. Slides, 42 and 43 focus on our stabilized portfolio. At December 31, 2014, with the exception of our recently completed 109-unit complex in Calgary, Boardwalk’s entire important portfolio was classified as stabilized. For the fourth quarter, revenue on these properties increased by 3.72% as compared to the same period last year with operating cost increasing by 5%, resulting in an NOI increase of 2.96%. For fiscal 2014, the Trust reported a same property revenue increase of 4.2% with expenses increasing by 7.1%, resulting in an – in reported NOI increase of 2.5% Slide 43 shows sequential revenue of our stabilized properties over the last four quarters. The fourth quarter reported an increase of 0.8%, when compared to the third quarter. Slide 44, documents the Trust’s strong liquidity position. With $7.2 million after adjusting for our January 15, 2015 special distribution. And an additional $196 million in existing line of credit the Trust has $ 263 million of available liquidity which represents 12% of total debt outstanding again [ph] in the end of the quarter. Boardwalk’s debt as a percentage of reported investment property asset value was 38% after adjusting for cash and special distribution. Slide 45 reports the Trust’s total debt maturity scheduled at the end of December. We have continued to see a decline in the underlying yield of the Government of Canada five-year to 10-year bonds. At December 31, 2014, the Trust’s overall weighted average in place interest rate was 3.34%, a rate that is well over 100 basis point above in the current NHA insured 10-year rate of 2.3% and significantly above the five-year rate of 1.5%. A special note is that $427 million maturing in 2015 is at even higher rate of 3.66%. Boardwalk's remaining amortization under these insured loans in an excess of 30-years. Slide 46 provides the reader with our estimate of current mortgage underwriting valuations. Boardwalk’s balance sheet continues to be conservatively levered at 43% after deducting our current cash position. Slide 47 and 48 provide additional detail on Boardwalk's mortgage portfolio. A special note is over 3,000 apartment units currently have no outstanding mortgage encumbrances. Slide 48, shows the Trust’s interest coverage on a four quarter rolling basis is increased over 3.37 times, the highest rate reported history. Boardwalk’s secured mortgage portfolio is over 99% insured under the current NHA insurance program. The use of this insurance has two unique and distinct benefits and a system addressing the two distinct financing risks, these being interest rates and renewal risk. With respect the interest rate risk, the NHA insurance provides us the benefit of very advantageous interest rates. With this insurance we are able to obtain very competitive interest rates, which are currently at approximately 75 basis points to 90 basis points over the corresponding Canadian benchmark bond. Renewal risk has substantially decreased with this insurance and that once obtained it is good for the entire amortization of the mortgage, which in most cases 30-years to 40-years. Insurance is transferable to other approved lenders on term maturity. Slide 49 provides summary of our 2014 mortgage maturities. For fiscal 2014, Trust maturing mortgages with a special balance of $427 million at a weighted average rate of 2.67%, for average term of six years. This equates to an estimate annualized savings of $3.2 million, as compared to the maturing rates as of 3.42%. Slide 50 details 2015 mortgage maturity schedule. With the continued low interest rate environment we have been proactive and forward-looking some existing maturities. State we have either locked or forward locked over 30% of 2015 maturing mortgages. These mortgages have been renewed with a weighted average rate of 2.18% with an estimated - with annual estimated savings of approximately $3 million. At the same time, we spent these maturities over 70%. Slide 51 and Slide 52 focus on Boardwalk’s investment property fair value calculations. As Slide 51 shows Boardwalk’s reported fair value at December 31, 2014 on investment properties was $5.78 billion, slightly down from the $5.83 billion reported at the end of the third quarter. The decrease is the result of a decrease in estimated NOI, the result of the use of our forward-looking cost estimate at the same transition prior year. Slide 52, highlights the IFRS reported NOI and corresponding cap rates used in determination of the fair value of the Trust investment properties. As was noted, the slight decrease in estimated NOI was a result of the use of forward-looking cost estimates. Slide 53, highlights the capitalization rate to use determined the fair value of these noted investment property. Overall, weighted average capitalization rate used in determination to the fair value was 5.48% at December 31, 2014. Slide 54 details the variables in the determination of these estimates, net operating income and capitalization rates. As is noted, a slight shift either negatively or positively in these estimates could materially affect the reported amount. Slide 55, highlights Boardwalks’ current normal course issuer bid. Under the current program for fiscal 2014, the Trust has acquired a total of 472,100 of its Trust units for cancellation on the open market. The average price of these were $67.01. Moving on to Slide 56, Boardwalk’s 2015 forecast. Consistent with prior periods, the Trust reviews reported financial guidance on a quarterly basis. This review consist mainly as comparing actual reported results for those assumptions used determining the reported guidance. Based on this review, management may revise that estimate and if required just important guidance. Based on the most recent review, management reconfirms 2015 financial guidance of an FFO range of between $3.40 and $3.60 with an expect - also an expected AFFO range of $3.07 to $3.27. And determined use key assumptions include no new apartment acquisitions, dispositions during the forecast period, for development project in Regina will not to be complete in 2015 and a special have no impact on the financial results. And stabilize building NOI should increase as compared to prior year’s 2.5%, 1% to 4%. Side 57 to Slide 59 report our 2015 capital budget. For 2015, we anticipated total operating capital budget of $98.8 million with an additional $12.2 million for development. As is noted, we have increased our internal estimation on the amount of capital referred to as maintenance capital to $500 per apartment per year. Slide 58, provides the break-up of our 2015 capital to be targeted to be investments. Slide 59, provides a break-up of our operational of capital with investment. In addition, for your reference Slide 60 provides more detail on the determination of maintenance capital. On average for larger capital projects such as new roofs, or exterior upgrades and hallways are amortized over 12 years, where specific suite capital and our internal capital program are amortized over 3.5 years a time which approximates the average customer stay at Boardwalk. Moving on to Slide 61, Boardwalk distributions. As it's customary at each board meeting, the trustees review the Trust’s unitholders distributions. As a result of this review, the Board has determined to maintain its regular distribution at $0.17 per Trust unit for month or $2.04 on annualized basis. This concludes the formal part of our call and we'd like to open it for questions now. Mike?
Operator: [Operator Instructions] Your question is from Frederic Blondeau with Dundee Capital Markets.
Frederic Blondeau: Thank you, good morning. Two quick questions there, what kind of rental growth range in Alberta do you use in your 2015 NOI growth guidance?
Rob Geremia: Hi Fred, it’s Rob. Overall we use around 3%.
Frederic Blondeau: Okay.
Rob Geremia: Where our target has been.
Frederic Blondeau: And so what would that mean in 2016?
Rob Geremia: We haven’t forecasted thus far oh yes, it is difficult to me to say two years how the revenue will be – I think, we’re more doubted for this year. We’ll provide 2016 guidance in Q3 this year.
Frederic Blondeau: Yes, for sure. Okay thanks and my second question is, I would assume that those refinancing remain in the beginning of 2015 at $218 are not reflected in that 334% as the 234% as of December 31, right?
Rob Geremia: That’s correct. All those relate to the mortgages we’ve financed subsequent update.
Frederic Blondeau: Okay, great, all right. Thank you.
Rob Geremia: Thank you.
Sam Kolias: Thanks, Fred.
Operator: The next… [Operator Instructions] The next question is from Jonathan Kelcher with TD Securities.
Jonathan Kelcher: Good morning.
Rob Geremia: Good morning.
Sam Kolias: Good morning, Jonathan.
Jonathan Kelcher: Congrats on the good quarter, you guys have been through numerous energy cycles and as we start to go though this may be you can comment on some of the similarities and differences you’re seeing between this cycle and previous cycles, and maybe how you’re thinking your portfolio might perform this time around versus previous times.
Sam Kolias: Hi Jonathan, it’s Sam. Number of differences this time around is our approach over the last tightening cycle or expansion cycle has been very different with our market ramps. So what we did this time that we change is we were very conservative with new residents moving in. In the past eight years ago, we would have an approach that was called, hit the bid approach. So we would raise rents as high as new residents would pay, and we eliminated that. We saw in the last contraction that the market rents essentially evaporated, because they were unrealistic, because they were only the marginal new residents that were moving and that were really getting upset, its kind of like the WestJet customer who sits in the seat that’s twice as much as the guy next to me said, what, you pay half the price that I pay? And our residents are like any other customer, they talk to one another. So our residents at this time around talked to our existing residents and find out, you know what, the rents are pretty well the same. And so there is a much different approach and as a result, when you look at market rents, eight years ago, there are apples when you looking at market rents now which are oranges. And so our market rents essentially are understated, it’s really what it is. And we believe it’s built a lot of goodwill, we believe it’s benefited us in a much more stable market and we’re going to see that over the next few quarters and that’s why we’re confident and reiterated our guidance. Another big difference between the cycle and the last expansion cycle is cheap and easy credit. That’s really the culprit to demising, weakening housing market. Cheap and easy credits in the last cycle, a lot a more available versus this cycle which we commence CMHC and the banks for tightening up, underwriting rules and making it much more difficult to qualify for a condominium hold at these record high prices. And so we’re not seeing the amount of new supply that were seeing in past expansion cycle, simply because of one rule that CMHC change was, if you want to buy Condos, 10-20 of them is an investor that’s fine, do with your own money, not with the [indiscernible] shared money. And that one change is really affected things, as well the banks are looking at sales and they see one buyer by 20 units to a developer, they are saying, you know what I don’t think, we’re going to balance that on the presales. And so they are underwriting for new development and buying condominium has been much more conservative this cycle. So we’re seeing the same amount of supply but much bigger population in our core areas Calgary and Edmonton, and also much bigger immigration that continues. We are seeing the same amount of phone calls, year-over-year and phone calls is a really good indicator of immigration and so Edmonton we’re seeing the same amount of phone calls, Calgary is surprisingly it’s only dropped 10%, but rentals are higher in Calgary this year than they were last year. And so we’re pleasantly [ph] surprised at the strength, but we shouldn’t really be that surprised taking our approach, which has been much more conservative. So that’s its kind of what we were seeing.
Bill Chidley: John just to add the Sam’s comment here, if you go wave after cycles, what have you mentioned like eliminate the mark-to-market which got under control in the last turn. Rents have been extremely stable even during downturns, just compare the - on overall occupied level basis, extremely strong rent and Sam mentioned, we are not seeing any signs of weakness right now, we are seeing, even our graph show the same seasonal trends we saw in the past. So right now we are slightly ahead working hard to get on again obviously [indiscernible] we look ahead at receive is going on. But our operational team is just doing a phenomenal job in Germany. In the past we also use Fort McMurray as the Canarian coal mine. What a change in Fort McMurray was that proliferation of camp. We’ve seen a huge increase in camps in Fort McMurray, which drastically affected our rental market, because that’s the supply that’s been introduced, this expansion that we haven’t seen in the past that though was a quantum. Our new Cannarian the coal mine economic indicator is how easy it is to find a parking stall at Chinook center on the weekend. And nobody knows there is a recession at Chinook center on the weekend, because it’s super hard getting the parking stall. Everybody is out shopping, looking around spending money and, so not everybody but obviously the people that have been laid off, or have gone through a terrible, terrible time. The headlines, awful headlines just very depressing headlines, if you focus in on north. But if you drive the streets in Calgary and Edmonton, it’s pretty hard to see any kind of slow down and any sign. One big sign on the cloud trail which we believe is the big sign McDonald's, still high rates with new increased wages. So for McDonald’s they increased wages still in this hectic economic backdrop. That was a surprising sign to see, I didn’t apply for a job, I didn’t fill out an application, but I'm not here for the money obviously. So that surprised us as well. That again when you drive around and you look at things, kind of hard to see any thing slowing down. The builders, we ask the builders what our contractors and subs doing, what their price is. They’re holding firm with the prices so far, they are not dropping their prices, we got contacts in that, in the cement business, they are not really seeing any decline in demand for concrete. So far so good and of course it’s really depends on how low oil prices will go and how long they will stay low and there is enough debate on whether it’s going to be a B shaped, U shaped or W shaped or what kind of recovery we’re going to have on that, who knows, and time will tell. It really depends on too many factors for anybody to predict because who predicted the drop in oil prices in the first place, there hasn’t anybody that put their hands up and said you know I told you so on this one, so it’s a very difficult thing to predict. And so, there are all sorts of guides out there predicting everything right now. So time will tell.
Jonathan Kelcher: Great, that’s a great color. I’ll turn it back. Thanks.
Sam Kolias: Thank you, John.
Operator: Next question is from Alex Avery with CIBC.
Sam Kolias: Good morning, Alex.
Alex Avery: Good morning. I was just wondering, I notice that in your disclosure you had increased your maintenance CapEx assumption from $475 to $500 for 2015. And I was just wondering, if you could provide some color behind that if that was just an abundance of conservatism notably – maybe or maybe not. It would seem that labor costs in Alberta might have – there maybe trending a little bit lower, so what was the driver behind that?
Rob Geremia: We’ll review this every year. And when we provided our Q3 guidance – our 2015 guidance last quarter, we meet that goal. The bigger answer to your question is yes. We looked at our input costs a lot couple of years and they have been increasing, there had been inflationary pressures. But we did see [indiscernible] around a 5% increase, if we aren’t actually – overall. So at least a little above inflation, but again we would view that on a regular basis. It may come down. I will proceed that right now. I think as Sam mentioned, we’re not seeing much pull back on costs. The big costs pull back where you’re actually seeing right now is the utility costs, so that’s going to help us. But on an overall basis right now, we still think 500 is the right number to use.
Sam Kolias: If I could mention Rob on natural gas, we are definitely hedging more natural gas than we have in the past. And it’s that or lower prices than previous period, so that has enabled us to lock-in utility savings of which it was a big line item and reason why we were surprised in 2014. In the first quarter of 2014, we saw much higher gas prices than we anticipated and budgeted for much higher consumption. And in this quarter, we’re pleasantly surprised that nat gas is lower and their consumption in the weather in the west is much better this quarter as well. Sorry about that.
Alex Avery: Okay, no problem. That was a great color. And then just sort of comments – sort of the question on your material acquisition was not really all that material to Boardwalk – great use of – the heft of Boardwalk in the strong credit to acquire a property with the what is certainly a very strong credit tenants at an 8.5…
Rob Geremia: And we think…
Alex Avery: The data arbitrage that you pulled off there. What is the nature of the other user of that space?
Sam Kolias: The other user is a business club.
Alex Avery: Okay, okay. And then just lastly, you’ve spoken a little bit about your approach to market rents and not to hitting the bid as you said, but rather taking a more – longer term perspective on rental rate increases over the last several years. Do you have a sense or could you provide any commentary us to what your competitors have been doing over the last few years and perhaps – has the market really similars the way that Boardwalk has behaved as the market have been more rationale and longer-term thinking or has there been more sort of friendly in activity like you saw prior to 2007 in terms of the market rental rates?
Rob Geremia: Well, if you look at the average CMHC rents and you go back into 2008, six years ago, and look at the average CMHC rents this year 2014, the last reported period, you’ll see about $100 increase over a base of about 1,300 or so which was the rents back in 2008. So over six years, you’ve seen about a 10% increase and divided by six years that’s 1.8%. So the market and the industry have absolutely adopted our approach as reflected by the average CMHC rents reported and that’s really what reflects the industry taking the similar approach. If you ask other landlords and in the past and they’ve been very vocal, we look at the Boardwalk Rental site and that’s how we priced our rents. And we’ve got the biggest market share at about 10%, 15% of our core area. And so, we absolutely understand we’re a leader and it’s important for us to take a long-term approach to our rental pricing and lead the industry in that regard too. When there is a landlord takes a different and more aggressive approach, we have a one on one telephone or meeting with them and share our experience. In the past, we share the pain that happens to both the residents and the landlords, when landlords are too aggressive both residents and landlords suffer. There has been a public example of that and everybody knows Mainstreet, Bob Dhillon, and last expansion Mainstreet at public information is available and we have the highest regards the Bob, and believe he is a great, great guy and great company. And 17 years ago, Mainstreet took a much different and more aggressive approach. This time around, last time I saw Bob, a few months ago, I spoke with him and I asked Bob, how are you doing, Bob? He said, I’m not increasing rent, I’m not increasing rent. But – Bob, you know, how is your family, how are you doing? Bob said everything is good. So, absolutely Bob has taken a different approach and we believe that’s great and it’s positive for the entire industry. And we’ve all tried the aggressive approach as new landlords or less experienced landlords or more highly levered landlords. We’ve tried the aggressive approach. And it doesn’t work in the long run. So that’s why we’re very pleased with the industry and the adoption of our approach that’s more long-term thinking, pro-resident, which is really pro-landlord in the long run too.
Alex Avery: That’s great. Kudos for you to leverage your position in the market to I guess create more stability.
Rob Geremia: Thank you
Alex Avery: Congratulations. Thank you very much.
Rob Geremia: Thank you, Alex.
Operator: Next question is from Jimmy Shan with GMP Securities.
Jimmy Shan: Thanks. That was a great imitation of Bob Dhillon by the way.
Rob Geremia: I love Bob…
Jimmy Shan: So just to go back to your question about the recycle versus the year, so the color you provided there between the lifecycle and this cycle. How long does it take before you start to feel or to see in some of the leading indicator that you track that the market was softening? So like you know that last quarter around the WTI hit a low and I think in February of 2009, how long after that that you start to feel that the impact of that?
Rob Geremia: Historically, when you – again, when you look at our numbers in the past, it took over a year. And again, it depends that the big – big question is, how long will oil stay low, that’s the question. And absolutely, that will affect everybody that will affect. Our business like it will affect everybody’s business. And so that’s the big question. And it’s hard to answer that, it’s impossible to answer that. We will – continue to resists being the swing producer and how quickly will the shale producers cut back. Looking at the supply of oil whoever is there to shut off valve for shale oil haven’t got the message yet, because there continues to be a huge build in oil inventory from the shale producer. Even though, the rig counts are down, even though CapEx and develop in their exploration is down significantly. The oil continues to be produced and entering into storage. There is talk about storage levels being so high that they will continue to hunt the oil market going forward and that’s giving more support to the U-shaped recovery people. Then there is – the CEO or Chairman, I’m not sure which one of ELG, a shale producer, a very credible shale producers that once this supply is going to go down a lot faster than anybody or the market predicting. Who knows how many futures, contracts or shorts that’s another big factor, global future contractor, something that’s a black box and who knows really what that is. Okay, it’s going to take time unfortunately to really determine that and we’ll in the meantime continue to do what we can do. And again this supply and demand is the biggest factor and we’re very pleased with a much more stable supply and demand and prices. Rents have really, really stayed low over this last expansion and that’s a big positive. We believe that will help us better weather a weak economy going forward.
Jimmy Shan: Okay, so and then the incentives that you guys mentioned on - that you’re offering on a selective basis to be clear that’s not really related to Calgary, Edmonton used to more to deal with some seasonal factors or some building specific issues to that. I don’t read it.
Rob Geremia: Well, when we first started out with this slide presentation, I personally walked into James office, who does the initial draft, and I said, James we’re going to have to – we’re going to have to move Calgary and Edmonton to the incentive increasing and to the 4 ‘O clock position, right, he said, okay, okay. And then Rob walked in his office and move it back, and then I walked into Rob’s office and Rob, why we are moving to back. He said, well look at the numbers down, that’s what the numbers reflect. We’ve got less incentive this year than we did last year. I said, really, yes, you got to look at the numbers down. I said okay, yes, you’re right, well the numbers suggests and that’s what our graphs reflect that what we’re still seeing the same old, the same old quarter. If you look at our MD&A, I think at page 53, there is a two or three year of move out, move ins and all the vital statistics and you will see the exact same trends. So Calgary and Edmonton then we have in the past year, and so far so good. We are not seeing and we cannot say with the revenue and with the financial that we’ve got and with the rental statistics that we got in place. We cannot say, we’re seeing the softening in this marketplace, right now. We can’t. And until we can - we can’t say it’s softening because that’s not, right now it’s just not softening.
Jimmy Shan: Yes, okay, fair enough. And then last question just on the MCIB front, I mean, you guys have been buying stock, a well north of 60 and [indiscernible] I think reasonable level. So what's the updated thought on being more active on that front?
Sam Kolias: Well, we had big discussion at the board and we all looked at that. The big change really is 1.5% treasury. And in the past, we’ve used equity to buyback equity, but that’s something seems to be expensive and it’s a new, new - 1.5, ten year treasury. It’s a whole lot cheaper than the distribution we’re paying. So we’re having a lot of discussion on that and we’re keeping an open mind with respect to using really low cost ten year treasury and taking an approach similar to what we have in the past and that our approach to strategy is never [indiscernible] any particular strategic alternative. And so in the past, we’ve taken a very balanced approach where we’ve bought back a little, we’ve given back a little, we’ve sold a little, we’ve enhanced and reinvested into our portfolio a little. So going forward we will take all options into consideration and we’ve had lot of discussions and that absolutely is an option on the table. And we are discussing this. And right now, we’re refinancing and as we look at our refinances and we see what kind of up financings we’ll realize. We’re going to see what we can do with our capital. And again, we’re always here to look at how we can maximize value for every stakeholder and that’s absolutely what we continue to do. And 1.5% ten year treasuries, it’s quite something who would have predicted that as well. And so that that cost of capital is very, very low. It’s something that that we look at and we can lock in for ten years and we have confidence in the Alberta market in our portfolio and then long-term opportunity in growth prospects. We’re still positive and confident in our position in the west. And so, yes, absolutely, we’re going to consider that.
Jimmy Shan: Thank you.
Sam Kolias: Thank you.
Operator: Next question is from Matt Kornack with National Bank Financial.
Matt Kornack: Hi, guys.
Rob Geremia: Good morning, Matt.
Sam Kolias: Good morning, Matt.
Matt Kornack: Just in terms of – I assume given that the amount of credit that is available on where the ten year rates have gone that you don’t foresee at least in the Western Canadian markets much of an increase in cap rates or opportunities to buy from guys at this point that you’re going forward?
Sam Kolias: Well, certainly, it’s hard to speculate, but in the past if you look back in 2008, 2009, even when there was obviously stress in the market. There wasn’t significant increase in cap rates, what happen was the bid and they have asked why did and very little trade at the small fraction of what it traded in previous years. So we are always in the market, we’re always working for opportunity and certainly prepare to take advantage of opportunity set or raised, but we’re not expecting significant increases in cap rates.
Matt Kornack: I would assume the year-over-year competitors out there pretty well capitalized at this point as well.
Sam Kolias: That’s right, and they have access to very little cost debt that’s we just described.
Matt Kornack: And on that front, you forward look that that seven years and it sounds like going forward you’re looking at 10 year financing for maturities to come do had an already been forward look.
Sam Kolias: It little very obviously rates are big thing, the actual sweet spot the markets are five year mine right now, still that’s what the buying for wrinkle back, but we all look down set oil with our maturity, so you want to make sure, we fill in the blank some of those years that’s won’t be at ten and everything. So we will balance to going forward, we put a bid out for everyone at one that basically, 3, 5, 7 and 10 and we look for the best opportunity right there. So yes, you’ll see as going on little bit longer, but that will be all time.
Matt Kornack: Interesting. And it’s been I guess the focus has been almost entirely on Alberta and talk there, but in terms of what you own out here in Central and Eastern Canada. The rent growth has been fairly light, do you see some of the swing in the pendulum back east ultimately providing talent in those markets.
Sam Kolias: It’s same is Alberta it’s too early to tell, I think the good part is we’re actually getting AGI’s in the 2% or 3% range. Now if we go to the last year’s cold winter. So we’re not being able to get a little more revenue than we thought out of the Eastern Canada market, but it’s just too soon to tell if another decrease in oil prices is going to mean it for in manufactures drives these, I think we’re not seeing yet still a big out, it’s got to buying that approved with the government of Canada back into debt, obviously filled. So there is a lot of great positive things in Canada which we’re very excited about as well to but we’re not yet seeing in a numbers.
Matt Kornack: Thanks, great. Thanks for the update.
Sam Kolias: Thanks Matt.
Operator: Next question is from Trevor Thompson Harry with Scotiabank.
Trevor Thompson Harry: Hi good morning.
Sam Kolias: Good morning.
Bill Chidley: Good morning.
Trevor Thompson Harry: So, you’ve provided some great color on the contrast between this cycle versus past cycle and talking about prudent prior approach to rents and they’ve prudent approach the market as well. In the MD&A, you do mentioned all that, there is a risk to longer term rents in vacancy if resource price is due to sort of stay in lower periods for since that lower for longer. And the question really as I guess what is a longer period. So how which you uses to find that longer period? And in on that if you know the markets are taken a prudent approach and rental has been pretty sort of moderate since the last cycle. How should we think about potential downside to occupancy and rent in your portfolio?
Rob Geremia: That’s a good question. I think if you go way, way back the total was around 20 for quite a long period of time. And you look at rents back in those days they’re extremely stable and still growing. Again, I think we have to go back in the fact that renting is still the most affordable kind of housing out there and given a choice where we out for requirement people have to live somewhere. So and I think that – don’t get non-disclosure in the MD&A is accurate but it’s a very conservative discussion. And I think that to be fair we are getting a lot of question, not that question, but even the OSC is putting on information, we want you if you want you guys to comment now on what's going to happen for a lower price for oil, not just to add but all companies obviously. So we long as – the definition long last almost a year, year and a half. And what if operated was a market rents if you look at the occupied rents, it won't that much different. But I guess the Condo on home.
William Wong: Rob, it does bring a really good point in the 80s. And we are very thankful to have a memory that can still go back that far. And I guess that reflects how old we are getting to, but we believe we are pretty healthy I think and we all worked out this morning before the call. But in the 80s, it was very interesting, the swing factor in our industry or the builders. The Condo on home construction fell off a cliff and talking with Condo and housing developers they were very, very depressed and very upset. And it was very difficult to make a profit and he got any kind of gain in building a new Condo. And so we saw continued gains, because that we were at the very affordable side of rents and if you – it was a sad, it was a very sad time for Alberta, because there was a lot of layoff, there was a very high unemployment and oil was low forever it seemed anyway that time for many, many years. And we saw a lot of families break up and they went from one house to two rentals. And we saw a lot of disruption and a stable market as a result of people having to live at the most affordable spot. The other volatility in our industry is the high end rental. The luxury rentals definitely see a big drop, and that’s reflected in the jobs that are typically lost in the oil patch. And there is always of course a domino effect, everyone job the oil patch loses over time is it not a place that’s going to have a domino effect and it’s going to affect all jobs in the entire market. But overall, people have to live somewhere and that’s why we are a firm believer in our asset class being in the affordable range are not entering into too much luxury, which we don’t really have and just staying out of the development in a big scale basis as well. And that’s what we’ve seen in periods of prolonged low oil prices. It's just pretty stable market, as a result of keeping our rents affordable.
Trevor Thompson Harry: And also turn to the Slide 19 on your presentation, where you provide the reasons for move-outs buy. I guess it’s been pretty flat year-over-year to about 12,000 units. How should we think about think that in 2015 then if build price say sort of in the same range?
William Wong: Over the last couple of years, we’ve seen its trending downwards I think it’s going to be flat probably down or – sorry up lower turned over our average date specifically being longer and longer and longer, so it is in just the oil price its under variables. I think we’ve increased our quality of service to our customer matching a lot of five years long due was the big help. Overall pricing obviously it's going to be the issue. I do think though, I am speaking it’s only my personal opinion and when people are questioning things making investment in whole – much tougher decision. So we should see people staying longer in our portfolio than we have. How long would that last – that’s a good question, but that’s we should do.
Trevor Thompson Harry: Okay. Thank you for that color.
William Wong: You are welcome.
Operator: There are no further questions at this time. I will turn the call back over to the presenters.
James Ha: Thanks Mike. If you missed any portion of today’s call, a copy of this webcast will be made available on our website www.boarwalkreit.com, where you’ll also find our contact information if you have any further questions. Thank you again for joining us this morning. This now concludes our call.
Operator: This concludes today’s conference call. You may now disconnect.